Operator: Good afternoon my name is Christy and I’ll be your conference operator today. At this time I would like to welcome everyone to the Stericycle Second Quarter 2010 Earnings Conference Call. Our lines have been placed on mute to prevent any background noise. After the speakers’ remarks there’ll be a question-and-answer session. (Operator Instructions). Thank you, Laura Murphy, VP of Corporate Finance. You may begin your conference. 
Laura Murphy : Welcome to Stericycle’s Quarterly Conference Call. Joining me on today’s call will be Frank Ten Brink, CFO, Rich Kogler, COO and Matt Miller, Chairman and CEO. I will now read the Safe Harbor statement. Statements by Stericycle in this conference call that are not strictly historical are forward-looking. Forward-looking statements involve known and unknown risks, and should be viewed with caution. Factors described in the company's Form 10-K, 10-Q, as well as its other filings with the SEC could affect the company's actual results and could cause the company's actual results to differ materially from expected results. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events, or circumstances after this date that may bear upon forward-looking statements. I will now turn it over to Frank.
Frank Ten Brink.: Thank you. The results for the second quarter are as follows. Revenues grew $58.5 million to $347.7 million up 20.2% from $289 million in the second quarter of 09. Domestic internal growth excluding returns management was up 8.1% and international internal growth adjusted forex change was up 9.4%. Domestic internal growth consists of SQ of 9% and large quantity of 6%. Regulated recalls and returns management services revenues were $25.4 million. The gross profit was $161.5 million or 46.5% of revenues. Excluding the regulator returns management services restructuring costs, the gross margin would have been 46.7% SG&A expense was $67.3 million or 19.3% of revenues. Net interest expense was $8.8 million and net income attributable to Stericycle was $53.1 million or $0.61 per share on an as-reported basis and $0.62 adjusted for after-tax transaction expenses related to various non operating items. At the end of the quarter the revolver borrowings were approximately $359 million which is floating at LIBOR plus 75 basis points. The unused portion of the revolver debt at the end of the quarter was approximately $297 million. On July 16th, 2010, we received informal commitments from 22 institutional investors to purchase $175 million of min 3.89% seven-year unsecured senior notes and $225 million of new ten-year 4.47% on secured senior notes. We anticipate that the note purchase agreement will be signed in August of 2010 and that the new senior notes will be issued in October, 2010. The proceeds of this new agreement will be used to repay return debts and a portion of the revolver. We repurchased 235,436 shares of common stock on the open market in an amount of $13 million in the quarter. Cumulatively we have purchased approximately 13.6 million shares and we still have authorization to purchase an additional 2.6 million shares. The capital spending in the quarter was $12.2 million, our DSO was 51 days and the cash provided from operations was $129.3 for the first six months of 2010. And I will now turn it over to Rich.
Richard T. Kogler: Thanks Frank. At the end of the quarter we had over 471,000 accounts of which approximately 459,000 were small and 12,000 were large. We continue to see strong growth across all geographies fuelled by new customers and a continued adoption of our value added services. Let me quote the worldwide growth opportunity in the context for you. With our large quantity customers we now have multiple service offerings which can potentially triple the value of each account. Today less than 20% of LQ customers are using multiple services leaving more than 80% of our LQ customer base available for growth by adding services such as Sharps Management and RX Waste. Likewise, with our small quantity customers we offer multiple services which can also triple the value of each account. Today approximately a third of our SQ customers utilize multiple services leaving two-thirds of our customer base available for growth by adding services like Steri-Safe clinical services and RX Waste. We’re particularly excited about the recently launched RX Waste program for our domestic large and small customers. This program is now rolled out across the entire U.S. and is also available in a number of our international geographies. We’re getting favorable feedback from customers about our unique in-service capability which helps them stay compliant. In closing we want to thank each member of our worldwide team for their solid performance and continued commitment to our customers and our shareholders. I’ll turn it over to Mark.
Mark C. Miller : Thanks, Rich. I’d now like to provide insight on our current outlook for 2010. And please keep in mind that these are forward-looking statements. At the end of the second quarter we completed four acquisitions; two domestic and two international. The analyzed revenues of these four acquisitions is approximately $12 million. Now keep in mind our guidance does not include future acquisitions, divestitures of the related transaction expenses, but our guidance does include these items for the transactions already closed. We believe analysts EPS estimates will be in the range of $2.42 to $2.46 which we are comfortable with. We believe analyst’s revenue estimates for 2010 will be in the range of $1.37 billion to $1.39 billion depending on assumptions for growth and foreign exchange. We believe analysts will have estimates for net income between $210 million and $213 million depending on assumptions for margin improvement and interest expense. And we believe analysts will have estimates for free cash flow of between $245 million and $255 million with capital expenditures anticipated between $45 million to $50 million. In closing, we are very excited about the tremendous growth opportunities in 2010 and beyond. We thank you for listening to our prepared comments. And the operator will now turn it over to the Q&A session.
Operator: (Operator Instructions) Your first question comes from the line of Jonathan Ellis of Bank of America/Merrill Lynch. Your line is open.
Jonathan Ellis – Bank of America/Merrill Lynch: Thank you; just…let’s get a couple of housekeeping questions out there as first as we could. Just total number of Steri-Safe accounts as at the end of the quarter percentage on higher levels and then Steri-Safe as a percentage of SQ revenue please?
Mark Miller: Yes as we said before we’re looking at about a third of…yeah, about a third are using multiple services so we’re probably in the neighborhood of 145,000 to 150,000 accounts.
Jonathan Ellis – Bank of America/Merrill Lynch: Okay and how many of those, to be clear though, how many of those are actually on the higher level?
Frank ten Brink: About 11% of the total.
Jonathan Ellis – Bank of America/Merrill Lynch: 11% of the total, okay. And then total Steri-Safe as a percentage of SQ revenue this quarter?
Mark Miller: Total percent of domestic revenue is about 71%; that’s domestic only.
Jonathan Ellis – Bank of America/Merrill Lynch: Okay, great. And then just on the…the LQ side can you provide us with the number of new LQ contracts and Bio-systems accounts during the quarter?
Mark Miller: 58 new medical waste contracts, 75 Bio-systems domestic.
Jonathan Ellis – Bank of America/Merrill Lynch: Okay, great. And can you just talk a little bit about the…the returns business I know there were a number of projects this quarter, can you help us to understand how any of those projects are going to continue into the third quarter and any revision to the full year guidance for the returns business?
Mark Miller: For our full-year guidance we’re expecting right now about approximately $85 million to $90 million. What we’re seeing as regards through the share is a number of fairly sizable events that extend over multiple months. We’re also seeing a really good increase in the awareness of our capabilities and we think that will [bottle off] for us.
Jonathan Ellis – Bank of America/Merrill Lynch: And to be clear any of the projects that have been ongoing, would you expect them to continue into the third quarter or at this point it's a matter of waiting on new projects to materialize?
Rich Kogler: Each project can often extend over multiple quarters; it depends on the scope of the activities, what’s requested so it's not uncommon for even small projects to extend over multiple quarters.
Jonathan Ellis – Bank of America/Merrill Lynch: Okay. And then just on the RX business you have a thousand opportunities and I know in the past you talked about how that program could take multiple forms. Based on your success this far can you give us some sense for how customers are choosing? Are they using you to basically manage all the waste streams sort of holistically or are you just being contracted to dispose off the pharmaceutical waste exclusively? Can you give us a sense of what the nature most of the agreements are thus far?
Mark Miller: Well the pharmaceutical waste program is to handle pharmaceutical products and we think that the opportunity right now could be a couple of hundred million or higher depending on how the program is received. It's compliance-driven, we make it easy for the customers, I said in my remarks and our unique in-service model means that we basically take over the hard work for the customer, making it easy for them to stay in compliance. There are good gross margins in both the LQ and SQ space and right now we’re…frankly we’re seeing very good acceptance as we roll it out.
Jonathan Ellis – Bank of America/Merrill Lynch: Okay, I’m sorry…just to be clear though are most of the interest in RX in conjunction with your universal solutions as well or thus far most of the contracts you’re signing are just exclusively for RX?
Mark Miller: Am I not really understanding your question? The universal waste solution, don’t know exactly what you meant by that.
Jonathan Ellis – Bank of America/Merrill Lynch: Where you’re tasked by a hospital or a small quantity generator but more so a hospital to manage all of their waste streams, including pharmaceuticals…
Mark Miller: You’re talking about something called bundling.
Jonathan Ellis – Bank of America/Merrill Lynch: Correct.
Mark Miller: Yeah, you know bundling is really not a new market issue; it's something that’s probably been out there for over 20 years. Some of the solid waste companies have tried, it hasn’t worked all that well. Probably today, less than 0.5%, half of 1% of our LQ customers are interested in the service or receiving it. Where we’re called in to make that kind of proposal generally four out of five of the customers choose us over a competitor but again that is not really the RX program that I was referring to.
Jonathan Ellis – Bank of America/Merrill Lynch: I see, okay. And then just answer very quickly and then I’ll get back in cue, the free cash flow guidance for the year you didn’t change that even though you raised the net income outlook. Just help us understand what the factor is driving that are?
Frank ten Brink: It’s a little bit through there are some expenses that will go up a little bit. I think it's really arranged the $245 to $255 million then maybe a little bit of room that we will probably conserve at the fair but overall we thought it was within the range. 
Jonathan Ellis – Bank of America/Merrill Lynch: Okay and then just my final question; the tax rate this quarter was…seemed to be fairly low, any guidance on what tax rate should be for the balance of the year?
Frank ten Brink: Sure. Year to date is what you need to keep looking at because that kind of steps the race and that kind of in the mid to high 36s. We would say the forecast for the year is pretty similar, mid to high 36s.
Jonathan Ellis – Bank of America/Merrill Lynch: Great, thanks guys.
Operator: Your next question comes from the line of Ryan Daniels of William Blair. Your line is open.
Ryan Daniels – William Blair & Company: Good afternoon guys. I just want to start with a quick follow-up on the RX Waste Compliance Program, sounds like one you’ve rolled that out across the U.S and you’re seeing good demand. I’m curious if that demand is pervasive across all the states you’re in or are you seeing more initial demand in those markets where the compliance and regulations are a little bit tighter? Any color there?
Mark Miller: Certainly it's regulatory driven but in…for example like take our EPA region is forecasting heavy enforcements we’ll see a lot more customers coming to us but I would say that we’re seeing interest in all geographies that’s why we rolled it out across the country as quickly as we could. And a lot of customers are looking at it as the green initiative…waste shouldn’t be put down the drain and they’re also saying well, if you can do it as an in-service model like bio-systems model where really the labor component is done by Stericycle that’s a benefit to them. So think we’re seeing more interest in it besides just, “Oh I got to do this to comply.”
Ryan Daniels – William Blair & Company: Okay, perfect. And then a little bit of change of topic but on the MedServe transaction, I know you thought you might be done with most of the integrations in the July-August timeframe, I’m curious one, if we can get an update there on how that’s progressing? And number two just relative to your prior financial forecast what the current view is?
Richard Kogler: Yeah, I mean the integration is on track according to our original projections the two pennies are included in the guidance and those two pennies have been kind of our consistent view of what will happen when it's fully integrated. I think most of you are aware that we sold the business in the Heartlands area and that was closed and done and…we closed one redundant location and right now we’re pretty much on track to finish up that integration.
Ryan Daniels – William Blair & Company: Okay, great. And then it doesn’t appear in [tape recorder] at all but I’m curious with all the austerity measures overseas especially throughout Europe if you guys are seeing any pressure or head winds in that business have you sailing through that pretty much unscathed?
Mark Miller : Yeah, we have not experienced the effects of the austerity measures. Historically the healthcare budgets are not getting impacted, I think there is…we are seeing the effects on acquisition opportunities where in some cases there is a little bit less competition on deals surprising as favorable and some discussion in the UK has been put forward about modifying the health system but that’s going to go through a lot more public debate and reversions before we see that.
Ryan Daniels – William Blair & Company: Okay and then I guess final question just looking at your organic growth rate at recall, I think domestically it’s gone from 6% Q4 to 7 and now 8%, international from5 to 7 to 9.4. So is there anything in particular there that’s driving the nice re-acceleration and growth over the last few quarters or is it just the new product launches or is just stable continuing demand? Any color there would be helpful.
Frank ten Brink: I think it’s multiple things. One is the adding of the multiple services we have, the rolling out and expansion of SQ internationally is part of that. You really have a focus that due surcharged is not as much of a factor any more so the year over year kind of factors that impact that are not there any more so you’re seeing more the true effect of what these multiple services are doing.
Ryan Daniels – William Blair & Company: Okay great, thanks a lot for the color guys.
Operator: Your next question comes from the line of Scott Levine, JPMorgan. Your line is open.
Scott Levine – JPMorgan Chase & Co.: Hi, thanks. Good afternoon. Question, drilling down on the organic growth, if we look at your domestic SQ&L queue, your SQ’s kind of remain stable at 80% radar thereabouts [indiscernible] uptake this quarter but your LQ has gone from this 3% range in the second half of last year to 5 and now 6, is there anything with regard to the RX or any other variables really driving that or you’re seeing increased penetration of hospitals or pricing or, elaborate a little further on the accelerating trend there.
Rich Kogler: Yeah I think Frank just alluded to, we have multiple service offerings now. We have the bio-systems which has continued to have strong acceptance. I mean it’s a program we’ve had out there for some time although there’s still plenty of runway left there. The RX is coming on strong; obviously there is a green mentality that I think is permeating the country in the last 12, 18 months which is helping us. There is focus on trying to utilize labor in the hospitals more efficiently, that’s helping us and I think his point about this being a period of time where we don’t really have something involving the fuel distorting the growth rate. You’re looking at really sort of a true growth rate now and you’re seeing things in LQ reflecting these new services being rolled out.
Scott Levine – JPMorgan Chase & Co.: Got it and then does your guidance content play the note issue and the increased borrowing costs beginning I guess beginning of Q4? Is that factored in the guidance?
Frank ten Brink: Yes, that is factored and starting Q4 you will have about 1.2 cents diluted impact because of the higher interest rates if you assume that LIBOR remains the same as to what it is right now for next year that will probably between $0.5 to $0.6 impact. We’re really taking advantage here of the low fixed rates and the diversification of our capital structure and obviously has a good funding for us for growth. The rates obviously when we did them we were the lowest rate at that point issued in the year even including investment grade hired and we were the lowest rate and obviously 7 and 10 year money was clearly very good and well oversubscribed by about 6 times.
Scott Levine – JPMorgan Chase & Co.: Got it, now it makes sense. One follow up on acquisitions, can you tell us which geographies internationals were in and maybe an update on the pipeline and multiples paid in the market?
Frank ten Brink: Yeah so there were two domestic, two international, one was in Mexico, one was in the UK, there were tuck-in acquisitions as Mark said, annual revenues about 12 million, revenues in the quarter itself were about 1.5 million, the multiple very similar to what we paid before, between 6 and 7 but 70% of the revs were with large quantity. From a pipeline point of view it’s north of 100 million and increasing, it’s both domestic and international.
Scott Levine – JPMorgan Chase & Co.: Thank you.
Operator: Your next question comes from the line of Scott Schneeberger, Oppenheimer. Your line is open.
Scott Schneeberger – Oppenheimer.: Thanks, good afternoon. Frank could you just repeat what percentage was LQG, SQG, I mean new acquisitions?
Frank ten Brink: It was 70% LQ.
Scott Schneeberger – Oppenheimer.: Thanks. The – I guess while we’re on that theme, could you give us an update. You were very inquisitive last quarter how those are progressing and any impact on the margin in this quarter.
Frank ten Brink: Yeah, the acquisitions we concluded last quarter are all on track, the larger one there as everyone remembers was Brazil. Great team, they clearly are on track, we see lots of growth and deal opportunity in Brazil. So we’re very excited about the adding of that country into the total, but all the other ones are working the way they should
Scott Schneeberger – Oppenheimer.: Ok then the gross margins down year over year I assume that was primarily MedServe, please correct if I’m wrong, how much was it on RMS contribution, what were other components that would move it up or down year over year? Thanks.
Frank ten Brink: If you look to year over year quarter, you’re down about 50 basis points, if you look at an adjusted excluding the restructuring for the RMS, so it went from 47 2 to 46 7. About 100 basis points of that is acquisition related, the biggest one of that was Netsurf related, energy and fuel was a negative, about 50 basis points and then all the other factors, the improvements in the business and growing the higher margin sectors faster was an add of about 100 basis points. So it netted out a negative 50 still but because of mostly acquisitions in energy.
Scott Schneeberger – Oppenheimer.: Okay thanks. Are you guys at a point now where you’re national with our RX Waste that you can give us an idea of what type of revenue magnitude that is?
Rich Kogler: Well I guess we have rolled it out in all geographies and we believe the opportunity is a couple of 100 million or could be higher. We’re pretty excited about it right now.
Scott Schneeberger – Oppenheimer.: Sure. Obviously not big enough to disclose, at what point would it be big enough to disclose?
Frank ten Brink: It will stay included into the SQ/LQ. So if both sectors are being impacted to serve, this is also performed by overlapping parts of the infrastructure, so some of it will be difficult to separate. Most likely you’ll continue to see it as part of SQ/LQ in their growth rates.
Scott Schneeberger – Oppenheimer.: Ok thanks and now with – you mentioned in the prepared remarks a good quarter for recall at RMS and good awareness out there. Could you speak to your spend? I assume predominantly in SG&A with regard to that are you going to put the pedal on the metal or pull back now you feel you’ve hit a level where you have enough awareness?
Frank ten Brink: If you look at our SG&A over the last couple of quarters and if you exclude for instance stock options, amortization and any of the restructuring, you’ve seen Q4 at about 18%, Q1 at about 18% and then a slight drop in Q2 17.6%. We would say including all those factors, you’re still looking at mid to low 19s but we’re clearly – as we start also with the integration of Netsurf we’re starting to see a little bit of that benefit now and those are the kind of things that should lower the little bit and for the year again mid to low 19s including the factors like stock options and amortization.
Scott Schneeberger – Oppenheimer.: Ok thanks very much.
Operator: Your next question comes from the line of David Manthey, Robert W. Baird. Your line is open.
David Manthey – Robert W. Baird: Hi guys, good afternoon. There were several seemingly large recalls announced somewhat late in the quarter, McDonald and Maytag and Kellogg’s and a whole bunch of things, I’m just wondering, when you look at the first half it seemed like as far as I can tell was your highest returns half ever and I’m just wondering the 85 to 90 seems a little light. Is there a lack of visibility of which you’re working on now? It sounded like things are going well, I’m just wondering why, are you just being conservative there?
Frank ten Brink: It remains an uneven market and it is one where we probably were overestimating when we started last year. From that point of view – but it remains uneven and unknown, we don’t know yet what’s going to come out in the months to come and so we have to be on that part, not necessarily conservative but just what we think as realistic and remember too that even though recall is done, it really depends what we do for it. Is it done all the way to the consumer level or not? One recall can as a result be $5 million and the other one can be $100,000. So again quantity of recalls is not the guidance that would drive our revenues, it’s our interaction and the quantity of work that we do for a customer. But it will remain uneven and I wouldn’t say if it’s conservative or aggressive, it’s just what we think right now we can look at and then feel comfortable with telling.
David Manthey – Robert W. Baird: As it relates to your increased awareness that would indicate to me that you’re seeing more opportunities. Is your win rate within those opportunities also increasing?
Frank ten Brink: I think definitely the awareness campaign is working, the government also is putting on more pressure and all those combined I think are positive environments for us.
David Manthey – Robert W. Baird: Lastly, can you just give me an idea right now where you stand in terms of the mix of small quantity versus large quantity, if you were to break out US and international separately?
Frank ten Brink: I think numbers we’ve given in the past is roughly similar, you’re talking 63% of US is about small, internationally what we’ve indicated and for instance the UK, we’re now at approximately 30%. Those are some of the ratios that we’ve given and what it is right now. 
David Manthey – Robert W. Baird: Thank you.
Operator: (Operator instructions). Your next question comes from the line of Richard Skidmore, Goldman Sachs. Your line is open.
Richard Skidmore – Goldman Sachs: Good afternoon. Just one question specifically about Steri-Safe, if I look back over the last few quarters here, percent of SQ customers on Steri-Safe has stayed around one third, I believe in the past couple of conference calls you’ve talked about the sales force being better adept at increasing the Steri-Safe subscribers. Can you just talk about the progress and when you might see that percentage accelerate, more quantity customers on Steri-Safe or what might be keeping that from really growing? 
Mark Miller: Yeah I think what you’re seeing is actually that the customer base, the target base of customers who can be offered continues to increase. So it’s not really a factor of the sales people have plateaued. Sales people actually have gotten very adept over time at bringing people into Steri-Safe and into the higher level programs. But what you do see is through acquisitions, through new account capture of transactional business, we continue to add to the pool of customers and that’s why I said on account of a worldwide basis, we still have two thirds of our customer base, small quantity customer base available for growth.
Richard Skidmore – Goldman Sachs: And can you just reconcile that with I think previous comment maybe not this quarter but in prior quarters where the new small quantity customers roughly 80% were taking Steri-Safe and maybe just reconcile that with your previous comment?
Frank ten Brink: And that’s still the same. In the quarter itself we were still over 80% at sign up for the higher levels.
Richard Skidmore – Goldman Sachs: Okay, thank you.
Operator: Your next question comes from the line of Richard Close, Jefferies & Company. Your line is open.
Sean Sullivan - Jefferies & Company: Good afternoon, this is Sean [indiscernible] Rich Close. I want to start with just kind of touching on the internal growth rates and what’s possible been driving them. Have you guys – has there been any recent changes in the size or composition of your sales force and or marketing spend recently?
Frank ten Brink: No, there hasn’t been. I mean it’s fairly stable. I mean obviously we do invest into the areas of our business where we have great returns like Steri-Safe now obviously and the RX Waste market sector. So there is emphasis on that in investments, that’s fair. But they have shown and continue to show very good results and again it’s contributing to the growth and our revenues.
Sean Sullivan - Jefferies & Company: Okay and what percentage approximately of your large quantity contracts are volume based or actually based on the way you collect I guess given kind of the lower utilization hospitals that we’ve heard a lot of these guys report lately, is that having any impact or do you anticipate to have an impact on your business?
Frank ten Brink: Yeah, this question has come up over the years obviously especially in recessionary kind of environments and how does volume really impact us? And it’s very different from country to country because volume could impact it if you think about it because of down economy. But then in countries where there is national health care and the like, that’s not really an impact. So if you look overall to all the recessions now that have been here at, we have not seen an impact on our volumes and as we’ve indicated before. So this again is an industry that’s insulated it seems from the economic up and downs. There is probably slightly less volume growth in large quantity because they keep losing it to the outpatient centers and the like. So it’s more volume growth in the outpatient and the small customers. What’s driving industry growth is the baby boom, what’s driving it is more regulatory frameworks like Pharma is also being driven by regulatory framework. Those are very positive for us and overall the percent of business that really gets bill based on volume is not that high. Steri-Safe is a fixed monthly fee with overages, the remainder of the customers that are small are billed by the container and so the weight and the container is really not a driver of the amount of revenues. If you look at large customers, they may be volume driven both on the container or a per pound basis but also the programs such the RX Waste and even Bio charts are fixed monthly fees. So again all those combined make the percentage of business that’s volume driven not that high.
Sean Sullivan - Jefferies & Company: Alright, thank you. 
Operator: There are no further questions in queue at this time.
Mark Miller: Well we thank everybody for their time and attention today. We look forward to speaking with you again in the next quarter with another set of great results. Have a great day.